Operator: Hello, and thank you for standing by. My name is Regina, and I will be your conference operator today. At this time, I would like to welcome everyone to CSG's Third Quarter 2024 Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions]. I would now like to turn the conference over to John Rea, Head of Investor Relations and Treasurer. Please go ahead.
John Rea: Thank you, operator, and thanks to everyone for joining us. Like last quarter, we will be working from a slide deck, which can be found on the Investor Relations section of our website. Please take a moment to locate these slides. Today's discussion will contain a number of forward-looking statements. These include, but are not limited to, statements regarding our projected financial results, our ability to meet our clients' needs through our products, services and performance and our ability to successfully integrate and manage acquired businesses in order to achieve their expected strategic, operating and financial goals. While these risks reflect our best current judgment, they are subject to risks and uncertainties that could cause our actual results to differ materially. Please note that these forward-looking statements reflect our opinions only as of the date of this call, and we undertake no obligation to revise or publicly release any revision to these forward-looking statements in light of new or future events. In addition to factors noted during this call, a more comprehensive discussion of our risk factors can be found in today's press release as well as our most recently filed 10-K and 10-Q, which are all available in the Investor Relations section of our website. Also, we will discuss certain financial information that is not prepared in accordance with GAAP. We believe that these non-GAAP financial measures, when reviewed in conjunction with our GAAP financial measures, provide investors with greater transparency to the information used by our management team in our financial and operational decision-making. For more information regarding our use of non-GAAP financial measures, we refer you to today's earnings release and non-GAAP reconciliation tables on our website, which will also be furnished to the SEC on Form 8-K. With me today on the phone are Brian Shepherd, Chief Executive Officer; and Hai Tran, Chief Financial Officer. With that, I'd like to now turn the call over to Brian.
Brian Shepherd: Thanks, John. Hi, everyone. Welcome to today's call. On Slide 4, we wanted to begin with several exciting highlights that showcase how well team CSG is executing across all areas of our business. First, the big news that has been on every investor's mind. We were super-excited to announce on Monday that we signed a fantastic contract renewal with Comcast. This great win-win deal builds on our 35-year-plus relationship with Comcast, and it gives both companies the opportunity to unlock much greater value in the future by continuing to do more business together. Comcast is undoubtedly one of the biggest and best connectivity and entertainment providers in the world, and we are honored and humbled to continue to serve this industry giant with mission-critical technology solutions well into the next decade. We're also very pleased to raise both profitability and EPS guidance targets for the second consecutive quarter while reiterating all other full-year 2024 guidance targets. We achieved very good profitability in Q3, reporting an 18.4% non-GAAP adjusted operating margin and team CSG believes it can continue to deliver enhanced profitability in Q4 and into 2025 and beyond. It was also great to see the strong profit performance convert into better free cash flow as we generated $37 million in free cash flow during the first nine months of 2024, a 25% increase year-over-year. And as Hai will share more detail on, our cash flow growth would have been even stronger if you normalize out the $18 million in onetime restructuring cost reduction hits to cash flow through Q3 year-to-date. And lastly, our sales wins and deal expansions through the first nine months of the year have been very strong across the board with good wins in digital monetization, data-driven CX and payments. Slide 5 provides some additional color on the Comcast renewal. The contract term extends through December 31, 2030, over six years from now. CSG will continue to provide broad mission-critical support for Comcast triple-play broadband subscribers and other areas of Comcast's business. Given the good contractual commitments that CSG received, we agreed to no day one price increase and no price increase in 2025, but the party did agree to annual price escalators starting in January 1, 2026. We were truly honored to continue to serve one of the largest and most innovative leaders in the connectivity and entertainment industries well into the next decade. Moving to Slide 6. We wanted to remind investors of the three key value creation commitments that the CSG leadership team and Board of Directors will hold ourselves accountable to deliver in 2025 and 2026. First, even as we grow through a lower organic revenue growth period for the next several quarters, CSG aspires to consistently deliver 2% to 6% pure organic revenue growth and to diversify revenue from exciting new industry verticals to greater than 35% of total CSG revenue by 2026. As a reminder, since January 1, 2021, CSG has added over $160 million of new organic revenue through Q3 2024. Second, we aspire to expand non-GAAP operating margin from our previous long-term range of 16% to 18% to our new long-term range of 18% to 20% with free cash flow growing much faster than revenue growth. And we fully expect to achieve this higher operating profit without impeding our ability to get back to the mid-single-digit annual organic revenue growth that we achieved from 2021 through 2023 and to do this by 2026 or sooner. And we believe that our improved profitability will convert into significantly higher free cash flow in 2025 and 2026 with a pathway to deliver between $110 million and $150 million in free cash flow in those years. Third, we will continue to return significant capital to shareholders. On that front, we are committing to over $100 million in share repurchases and dividends in each of 2024 and 2025. As a reminder, we have delivered nearly $500 million to shareholders in the form of dividends and buybacks since 2020, and we are now in our 11th consecutive year of increasing our dividend, a key tenet of the CSG investment thesis. Turning to Slide 7. Since we have a number of new followers to our story, we wanted to connect the dots on how team CSG is setting ourselves apart in the market as a leading provider of mission-critical enterprise SaaS solutions to global brands in a wide variety of industry verticals. With the record-setting revenue diversification results we keep reporting most quarters, many investors ask us how we determine which industry verticals to target. The answer is simple. CSG targets industry verticals that have highly recurring relationships with their end customers, powered by a complex subscription and consumption-based business models. This is why we have expanded so quickly beyond our traditional telecom and cable broadband customer base into exciting industry verticals like media, financial services, health care, pharmacy retail, technology, government and more. We help great brands like Walgreens, JPMorgan Chase, NRC Health and Formula 1 solve similar customer engagement and monetization business challenges, just like we help Comcast, Charter, MTN and Telstra in these same areas. While the industries are different, the customer pain points and business needs are surprisingly similar. This explains why we've been able to sell our industry-leading cloud-native SaaS Ascendon platform to one of the largest banks in Australia and why Formula 1 and other big content providers have selected CSG Ascendon to monetize their media and digital content businesses. And it's also why leading global wireless operators like Claro Brasil, M1 in Singapore, Telenor Denmark and Lyse in Norway have all selected CSG Ascendon in the telecom industry vertical. These common business needs across industry verticals also explain why we've been able to sell our data-driven CX and payment SaaS solutions to many big customers in faster-growing industry verticals. Second, many investors ask us about our value proposition and what business problems CSG solves for customers in different industry verticals. The answer to this question also explains why CSG has been able to grow organic revenue over 5% on a compound annual growth rate basis since 2021. Every large customer in all these bigger, faster-growing recurring revenue industry verticals have similar business challenges related to their post-purchase customer engagement. They all need to lower the cost and effort to activate, onboard and educate new customers. They all need to give their customers the power and flexibility to upgrade and downgrade their services more seamlessly through digital self-serve channels. They all need to harness their data to more proactively upsell, cross-sell and retain their most valuable customers with real-time data-driven promotional offers, and they all need to make it easier to bill, collect and resolve payment disputes on a timely basis. An important point that is often misunderstood by investors is that CSG is not just a billing company. Our comprehensive workflow engines are foundational to how our customers holistically serve their end customers and make money. Third, our investors routinely ask us why we win against bigger competitors. The answer is because we relentlessly focus and prioritize our R&D, sales and marketing and disciplined inorganic M&A to constantly strengthen our industry-leading future-ready SaaS portfolio so we can simultaneously grow organic revenue while expanding our operating margins and profitability. As a reminder, CSG is ranked in the leaders quadrant in Gartner's Integrated Revenue and Customer Management category, and CSG is also ranked in the leaders quadrant in Forrester's Customer Journey Orchestration category ahead of almost all other competitors, and CSG routinely wins industry leadership awards in the payment space. Is doing all this easy? No, it's not. Being as mission-critical as it gets for giant customers all around the world in a wide variety of industry verticals is never easy. And yet being a critical provider to help our customers lower their cost, retain and upsell their most valuable customers, grow revenue faster and make more money is precisely why our customer relationships are so sticky, often lasting three decades or longer. And it also explains why we have continued to grow organic revenue and close exciting new sales wins even in tough economic conditions because our SaaS workflow solutions deliver faster ROI paybacks. On Slide 8, you can see the success we've had in increasing our organic revenue growth since 2021 and the industry vertical revenue diversification success we've had since 2017. The truly exciting part for us is that even as we grow 2024 organic revenue in line with the lower end of our 2% to 6% organic growth range for the near-term quarters, CSG's profitability is expanding at its fastest clip in many years as a result of both our operating discipline and our product-centric business model. Turning to Slide 9. We want to remind investors on the many exciting new logo sales wins and deal expansions we've delivered year-to-date in 2024. These wins are underpinned by our strong global sales teams that continue performing well and delivering meaningful wins like Clockwork. We won a fantastic new telecom logo in Q3 at Telenor Denmark, the second largest mobile operator in Denmark. We will be deploying both our cloud-native SaaS Ascendon and CSG Xponent Solutions. This win highlights our ability to cross-sell our cutting-edge digital customer experience suite of solutions together with our cloud monetization offerings. It also highlights an important inflection point that we are seeing in the global telecom market as more leading wireless operators around the globe are willing to run their core billing and monetization engines in the cloud, a trend that bodes very well for our revenue growth with our AWS cloud-native Ascendon platform. We won a second fantastic CSG Ascendon-Xponent joint cross-sell new logo deal with Lyse, a leading telecom and utility provider in Norway. Lyse selected CSG for a full digital BSS transformation and will reap the benefits of becoming a digital operator as they too move from their core monetization and customer engagement technology platforms to the cloud with CSG Ascendon. We won a third great cloud Ascendon wireless win in Claro Brasil, one of Brazil's largest telecom operators serving more than 88 million mobile customers. To better serve the wireless market and monetize its mobile network, Claro Brasil chose CSG's highly scalable cloud-native Ascendon solution to set the foundation for its digital MVNO evolution. Another 2024 Ascendon sales highlight was the excellent multi-year contract extension with the iconic brand, Formula 1, the world's most prestigious motor racing series. Since 2018, our cloud-native multi-channel cloud Ascendon solution has enabled Formula 1 to quickly launch new live and on-demand OTT subscription services for fans who want to connect with Formula 1's content. We expanded our relationship with One New Zealand, formerly Vodafone New Zealand, with an exciting win with the CSG Quote & Order suite of catalog-driven solutions to provide a seamless experience between the quoting of new products and the monetization of their offers. Team CSG had a great digital BSS transformation win with Mascom Botswana, a leading telecom operator in Africa, and we won more business with Zain Sudan, part of the Zain Group, and a leading wireless operator in the Middle East and North Africa. We previously announced a fantastic deal extension and expansion with Telstra, a 20-plus year customer of ours in the complex B2B segment. And on top of the big Comcast renewal, we were excited at the beginning of Q3 to win a meaningful new stand-alone billing deal at Comcast, which we expect to add approximately $10 million in non-recurring revenue in 2024, split fairly equally between Q3 and Q4 of 2024. During the third quarter, we also announced an innovative new partnership with Cellusys to help mobile operators optimize their roaming workflows, improve customer satisfaction and capitalize on emerging technologies like 5G and IoT. Moving to the year-to-date sales wins in banking and financial services. We announced a fantastic deal extension and expansion with JPMorgan Chase, where we are deploying our CSG Xponent suite of solutions to create an enhanced fraud alert notification experience for Chase cardholders. Also, Walgreens has been a CSG customer and partner for nearly 15 years through a third-party relationship. This last quarter, I'm pleased to report that we successfully executed a direct contract with Walgreens to provide CSG's smart communications platform with real-time messaging to the most important customer segment of Walgreens, their prescription customers. CSG is executing real-time prescription refill reminders and prescription status messaging to drive higher drug adherence, a critical KPI for Walgreens. We just met a new milestone this month and have executed over 5 billion IVR messages to prescription customers on behalf of Walgreens. We appreciate our partnership and look forward to further expansion. CSG expanded our relationship with NRC Health, one of the nation's largest health care experience management firms, supporting over half the health care systems in the U.S. We are partnering with NRC to execute a digital multi-channel customer engagement strategy in a streamlined, cost effective and scalable manner. And finally, I'll wrap up with a good sales wins we had in the payments arena with a leading regional bank in the U.S., selecting CSG to power their payments needs. Specifically, CSG's payment solutions allow this bank to reduce transactional costs and modernize their online payments portal with our bill pay product. We believe there are many domestic banks that could benefit by similarly leveraging our solutions for their payments needs. While all these fantastic sales wins will take time to onboard and convert into recognized revenue, they are why we fully expect to grow organic revenue at the midpoint or higher of our 2% to 6% organic growth range over the medium to longer term. Moving to Slide 10. We would like to provide more color on our second value creation priority, our commitment to consistently expand CSG's profitability. One of the most meaningful highlights this year is the high confidence we have in CSG's ability to continue to significantly expand our profitability and operating leverage in the quarters and years ahead. We have shown continuous improvement in our non-GAAP adjusted operating margin as it grew from 16.6% in 2022 to 17.2% in 2023. Looking ahead, we absolutely believe there's a clear pathway for CSG to consistently achieve 18% to 20% non-GAAP adjusted operating income in 2025 and beyond. And it's important to note that this enhanced profitability is not coming at the expense of sales. Our continuously expanding profitability stems from our improved operating leverage at scale, our smart investment in AI, our ongoing cost efficiencies unrelated to sales and marketing and our ability to grow higher gross margin SaaS revenue faster than the rest of CSG. And as we generate higher non-GAAP operating margins in the quarters and years ahead, this should absolutely result in free cash flow growing much faster than revenue growth. Turning to Slide 11. We will summarize our third value creation priority, our commitment to shareholder returns and our ability to execute accretive value-creating M&A. CSG is committed to returning over $100 million in shareholder remuneration via share buybacks and dividends in each of 2024 and 2025. Disciplined capital allocation and a dedication to returning capital to our shareholders is a cornerstone of our shareholder return strategy. Regarding our $1.5 billion revenue ambitions by year-end 2025, it is possible that this goal may take us a little longer to achieve, depending on the size of good value creating M&A deals that we find in the market over the next three to five quarters. We believe that CSG's stock price represents an excellent buy for both investors and for CSG. So we will stay balanced, disciplined and focused on any strategic or financial move that the Board of Directors and management team believe will deliver the greatest value for our shareholders. On this front, we increased our share repurchase activity in Q3, buying back $15 million worth of CSG stock versus the $10 million we repurchased in Q2. When we set the $1.5 billion revenue goal in 2020, we knew about half of the revenue expansion would need to come from disciplined and accretive M&A. While we continue to assess qualified M&A opportunities, when our share price trades lower, the hurdle rate for good M&A deals get that much higher. We are very pleased with the two smaller, highly accretive acquisitions that we've closed so far in 2024. We were able to acquire both companies at highly attractive multiples. Both small tuck-in deals add highly profitable revenue for CSG. And with respect to integration, both deals remain well on track to deliver the value we expected in our M&A business cases. And on an organic revenue growth side, we have delivered on our commitment of approximately 5% annual organic revenue growth from 2021 to 2023 with significantly expanding profitability at the corporate level. Given these exciting business results and momentum, we hope you see why we absolutely believe that CSG's best days and biggest breakthroughs are still ahead of us. We are so grateful to every CSGer for contributing to the transformation and growth of our company. As I wrap up my opening remarks, I want to be crystal clear on what we aspire to deliver to each one of our important shareholders. For CSG employees, we will continue to be a culture-first company centered on inclusion and impact where every employee can be seen, heard, and valued and where CSG becomes a platform for you to reach your fullest career potential. A giant thank you to all of you for the value you deliver every single day. For CSG customers, we will obsess over helping you solve your toughest business and technology challenges on the way to lowering your operating costs, wavering your end customers and helping you grow your revenue even faster. For CSG shareholders, while we realize we don't completely control our relative total shareholder returns, we absolutely believe you deserve to be rewarded with excellent across-the-board results, including faster revenue growth, higher operating margins, double-digit free cash flow growth and above market relative TSR performance. This Board and management team will do everything in our power to try to make all this a reality sooner rather than later and always with the operating discipline and high integrity you have come to expect from CSG no matter what. With that, I'll turn it over to Hai, who will share more details on our good financial results.
Hai Tran: Thanks, Brian. Let's walk through our Q3 2024 financial results, and then I'll wrap up with some key conclusions. Starting on Slide 13, we generated $295 million of revenue in Q3 versus $287 million in the same prior-year period. The increase in revenue can be attributed to the growth of our SaaS and related solutions revenue in addition to the approximately $6 million of revenue generated from the acquired businesses, which offset lower software and services revenue for the quarter. Also, as it relates to our top two customers, Comcast and Charter, we reported a 4% year-over-year increase in Q3 revenue. Please note that approximately $5 million of Q3 revenue was driven by non-recurring project implementations at Comcast. We do not expect this revenue to recur next year in Q3 2025 or subsequent periods. Our Q3 2024 non-GAAP operating income was $50 million or a non-GAAP adjusted operating margin of 18.4% as compared to $45 million or 17.0% in Q3 2023. We are extremely proud of team CSG's operating discipline that led to this 11% double-digit year-over-year growth in adjusted operating profit. Similarly, our non-GAAP adjusted EBITDA was $64 million for Q3 2024 or 23.4% of revenue, excluding transaction fees as compared to $60 million or 22.3% in Q3 2023. Looking ahead, we expect our profitability metrics to further improve as we took significant cost efficiency actions in the first nine months of 2024 to optimize our capacity and better align CSG's resources to areas of our business that will deliver faster growth and higher operating profit in the quarters and years ahead. Lastly, our Q3 2024 non-GAAP EPS grew 15% year-over-year to $1.06 as compared to $0.92 in Q3 2023. This significant increase in non-GAAP EPS is mainly due to higher non-GAAP operating income and the lower share count, partially offset by foreign currency movements. Turning to Slide 14. I will go through the balance sheet, our cash flow performance and shareholder returns. We had non-GAAP free cash flow of $32 million in Q3 2024 as compared to $18 million of non-GAAP free cash flow in Q3 2023. From a year-to-date perspective, we generated $37 million in non-GAAP free cash flow in 2024 versus $29 million in 2023, a 25% year-over-year improvement. Going forward, we believe we have a significant opportunity to deliver between $110 million and $150 million of free cash flow in 2025 and 2026. Moving on, we ended the third quarter of 2024 with $118 million of cash and cash equivalents. That along with our outstanding debt at September 30, 2024, results in $434 million of net debt, and our net debt leverage ratio remains at 1.8x adjusted EBITDA. Further, we have $566 million in liquidity as of the end of the quarter. And on the bottom right hand side of the slide, you can see we have returned $70 million in dividends and share repurchases to shareholders through the first nine months of 2024. Specifically, in Q3, we increased our share repurchase activity by buying $15 million worth of stock in the quarter versus $10 million in Q2. Turning the page, I'll revisit our 2024 guidance targets. As Brian highlighted, for the second consecutive quarter, we are pleased to be increasing certain 2024 guidance targets, including our non-GAAP adjusted operating margin percentage, non-GAAP adjusted EBITDA and non-GAAP EPS. We are also reiterating all other guidance targets for the full-year 2024. We continue to take disciplined cost reduction actions that will optimize and streamline our business, while still investing in higher growth activities. We believe these cost efficiency moves will elevate CSG's profitability for years to come. With that said, the cost reduction steps we have taken and continue to take will result in some short-term impact to our cash flows in 2024 due to restructuring expenses related to these initiatives. At this point, the cash impact from our restructuring activities in the first nine months of 2024 has been approximately $18 million, which means that our good cash flow performance through Q3 year-to-date would have been even better if we had not had this $18 million of restructuring hit our cash flow. As it relates to our $1.2 billion to $1.24 billion revenue guidance range, we will likely end up around the low end of the range. As the amount of revenue we expect to generate from our acquired assets in 2024 is anticipated to be more than offset by lower revenue expectations in our core business when compared to our original guidance expectations in February. Some of the main drivers of this include: one, we are seeing a little belt tightening with our current and prospective customers; two, we are experiencing smaller headwinds in the North American broadband markets. And three, there are some services-based revenue recognition timing-related headwinds surrounding a couple of the larger global telecommunications deployments as we continue to implement these important projects. Because of this, we expect our 2024 organic revenue growth to be around the low end of our 3% to 6% range, even as we expect to deliver very strong profitability and free cash flow in 2024 and beyond. Wrapping up, we love what we see in our business and the results being reported by our operating discipline, R&D innovation and ongoing sales wins. CSG will continue to relentlessly prioritize every investment we make and stay very disciplined in the allocation of resources and the use of capital. Innovation, including how we leverage the transformative power of AI across CSG and an adherence to a risk/reward framework with continuous learning are key cornerstones of how we have and will continue to grow top and bottom line results even faster. CSG is well positioned with a strong sales pipeline and a high-quality recurring revenue customer base. We remain committed to accelerating and diversifying our revenue growth, which may include closing and integrating disciplined value-adding acquisitions. We believe this approach, combined with our consistent capital distribution will serve our shareholders well. With that, I will turn it over to the operator to facilitate the question-and-answer session.
Operator: [Operator Instructions] Our first question will come from the line of Greg Burns with Sidoti. Please go ahead.
Gregory Burns: Yes.
Brian Shepherd: Hi, Greg.
Gregory Burns: Just when we look at the Comcast renewal, the fact that you're able to get it done without any price concessions upfront and actually have price escalators baked in, in forward years, are you providing more services? Like what was contemplated in that? Is it more services on your end being provided? Or does that contemplate maybe the number of subscribers declining over time and they're moving down maybe tiers in terms of the level of service you're providing. So there's a little bit of a wash there in terms of what you're going to be providing prospectively. If you could give us any more color on the dynamics that drove the structure of the deal?
Brian Shepherd: No, happy to, Greg. Thanks. It was a fantastic and I would say, win-win contract. There are no -- we had a lot of questions when people saw the press release, are there any kind of hidden step down? The answer is no. It's a strong commitment across the board. We're going to continue to serve Comcast on all the triple play like we do today across almost all aspects of their technology stack supporting triple play. We support Comcast in a wide variety of use cases beyond triple play. That will continue. And the contracts did not have a price increase, that even though we've been investing a lot and the reason we didn't get a price increase day 1 was we wanted to contribute to the strong competitive response we've seen Comcast bring forth in the market. They posted excellent results in Q3, and they talked about they think there's some headroom for growth in their own earnings call. And what we tried to do in this is actually incent them where they do more business with us, either on our more legacy stack or on our Ascendon platform, they could get economic benefit by doing more with this. I'd say stay tuned on that in terms of where it goes. But it is a win-win. There's no step down. There's no degradation of anything we're doing. And the reason for that is because we've invested heavily over the last seven or seven years to just bring substantially more value to Comcast and our other large North American cable broadband providers, and they're seeing the benefit of that, and they're rewarding us for that good investment and the good value that we're bringing to them. It's a fantastic contract, Greg, for us and for Comcast.
Gregory Burns: Great. And then just in terms of the maybe a little bit of a near-term slowdown you mentioned in the core business. Can you just talk about maybe what the pipeline looks like? Your view on kind of maybe what's driving that in the near term, what the pipeline looks like and your confidence in maybe growth reaccelerating at some point next year?
Brian Shepherd: Yes. No. So what we see is, I mean, I think, first, we love what we're seeing in terms of our sales pipeline, the shape, the size, the coverage ratios, the progression through our six stages and coming out with high win rate on the back end. So that gives us a lot of confidence to reiterate. We fully expect to be a 2% to 6% and we fully expect to be midpoint or higher in most quarters and in most years. What we -- as Hai talked about, we just see the normal belt tightening. I think everybody is feeling it in the global economy, even as there's some positive things around interest rates and others. Every brand is trying to squeeze OpEx a little bit and try to put more to the bottom line. You see that with our own results. And that's what's contributing to a little bit of the slower growth period where we're at the bottom end of that range as opposed to being mid or upper end that we've done for 3.5 consecutive years. And so our best guess is, first, we typically have a big fourth quarter. Let's see how that comes. I mean that's what we're working towards. We think this slower kind of just cost mindset that a lot of customers have is likely to be more of a few quarter kind of horizon. We think we could get back to midpoint or higher in the mid to second part of 2025, maybe sooner. That's our best guess on what we're seeing now. And overall, we like the performance, but we look forward to being at the 4% to 6% versus at the lower end where we have been the last couple of quarters.
Gregory Burns: Great, thank you.
Brian Shepherd: Thanks, Greg.
Operator: Our next question will come from the line of Dan Bergstrom with RBC Capital Markets. Please go ahead.
Dan Bergstrom: Yes. On the Comcast contract renewal, just any thoughts around the timing of the renewal? Maybe if you could share what are some factors that enable you to announce it now versus, say, six months from now, a year from now?
Brian Shepherd: Yes. It's a good question, Dan. I mean what we've been signaling the last couple of quarters is this was possible, but Comcast had the pen on that on deciding when they wanted. And I think it kind of came down to one thing that laid the foundation for this is we've performed extremely well in terms of uptime, in terms of value on both the core platform they use for the core triple play and for the platforms they use for some of their digital businesses. We've invested heavily, and that's brought significant value to Comcast. And I think they recognize that and see that. I think secondly, the fact that there was a commitment to put this renewal behind us, focus on how we could co-innovate together and actually bring more value as opposed to spending time negotiating around a negotiating table. And we did give them two meaningful concessions. We gave them no day 1 price increase, which we've seen them raise price with their customers. We've invested. We thought it could be reasonable for us to get a price increase. We were willing to do a flattish contract, and we were willing to give them a no price increase starting Jan 1 as trying to help what maybe their competitive response. So I think they saw that as a fair win-win give on behalf of CSG, and that may be incented them to also think let's go ahead and sign the contract now. We were super grateful for that, and we look forward to what comes over the next six years.
Dan Bergstrom: That's helpful. Thank you. And then anything to point out around international trends this quarter? It seemed like Europe was maybe a little stronger relative to last quarter. APAC maybe a little softer relative to last quarter. Just anything to point out in those geographies?
Brian Shepherd: Yes, I'll hit one and then Hai will talk maybe a little bit more about just some of the pricing model transition you're likely to see. We are at an inflection point. The number of big cloud native deals we're announcing on Ascendon has really bumped up. I mean we announced Telenor, we announced Lyse a few quarters ago, we announced M1 in Singapore. We announced one of the largest banks in Australia. We announced Claro Brasil, Formula 1, a lot of others. For a long time, we've been waiting for the market to be willing to run their core monetization in the cloud. That time is now. And so you're going to see both more win rates as we deploy those with great value and help them become true digital operators and lower their cost to serve meaningfully and make it easier to do business with their end customers, we think this is a trend that has huge upside for us over a two to five year period. Obviously, when it's pure SaaS and recurring ARR, it sometimes then takes a little longer to grow, but then it keeps on giving with high gross margins and everything else. Maybe, Hai, you could talk more about the geographic trends.
Hai Tran: Yes. And I think that's right. I think what we're seeing is that we're in the midst of that transition as a business on the global telco side to be more focused on SaaS recurring revenue with higher margins and less reliant on the traditional services deployment model. And as we make that transition, you feel some headwinds to growth on the services side and some tailwinds to growth on the SaaS side. So those headwinds though, what the trade-off we're making is you're getting much greater visibility on the revenues, higher quality revenue because you've got higher recurring revenue. And you're seeing that kind of across -- play itself out across different geographic regions.
Dan Bergstrom: Thank you.
Brian Shepherd: Thanks, Dan.
Operator: Our next question will come from the line of Shlomo Rosenbaum with Stifel. Please go ahead.
Shlomo Rosenbaum: Hi, thank you very much. I'm going to focus just a little on some of the tactical stuff this quarter and next quarter. Just there's a decent revenue step-up even at the low end of the range in the next quarter in 4Q '24. And I was wondering if it's the same thing for EBIT and EBITDA. Was there anything that slipped from 3Q into 4Q? Is there something that you just have specific visibility into over there? If you can just give us a little insight as to where it is. I know there's normally like an $8 million step-up or something like that. And here, we're looking at something like closer to $20 million, I think.
Hai Tran: Yes. So Shlomo, thanks for joining us. The answer is yes. When we think about the sequential bridge, there are a couple of things that really play itself out. The first is the payments business. As you recall, the payments business has a little seasonality in it where Q4 is always the strongest quarter traditionally. This year is compounded by the fact that we've made an acquisition on the payment side, right? So you can see a compounding effect with regards to that sequential uplift from Q3 to Q4 more so than you would traditionally. On top of that, one of the things that we highlighted is just some of the timing on the revenue recognition around some of the global telco deployments that we talked about. So some of the timing of that revenue recognition will flow into -- from what would be the middle of the year towards the end of the year as well.
Shlomo Rosenbaum: Okay. And then just this, just really nice increase sequentially on the adjusted gross margin. Is that a revenue mix type of thing? Is there something -- was there a particularly high revenue on that nonrecurring Comcast stuff that you were talking about? I was just wondering if you can discuss that a little bit.
Hai Tran: Yes. I'd say there's two big drivers and then a smaller driver that we'll see contribute more over time. The smaller driver in Q3 over time is as we continue to grow, we'll garner operating leverage, right? We're controlling our expenses pretty tightly. But the two big drivers is, one, we continue to take action to drive efficiency. So we took some actions earlier this year and then we took some further actions at the beginning of the third quarter, and you're seeing the benefit of that as well. And then the last one is one that you alluded to, which is mix, right? As our higher-margin SaaS business continue to grow faster than the other parts of our business, you're seeing the benefit of the mix.
Shlomo Rosenbaum: Okay, thank you.
Brian Shepherd: Thanks, Shlomo.
Operator: Our next question comes from the line of Brett Knoblauch with Cantor Fitzgerald. Please go ahead.
Thomas Shinske: Hi, this is Thomas Shinske on for Brett. Thank you for taking my question. Just to piggyback on the last question a little bit. With the top line guidance remaining flat, I guess, can you point to anything specifically you're seeing in Q4? Or I guess, can you provide more details on the specific factors you guys are mentioning that are contributing to the margin expansion, whether it be through AI or cost optimization that gives you the confidence to increase the adjusted operating income and adjusted EPS guidance?
Brian Shepherd: Yes. Hey Tommy, thanks for joining. Yes, like Shlomo called out, even though we're hitting some of these slightly slower revenue periods, if you kind of model out Q4, it does suggest that even on an organic basis we could be at the mid or upper end of our -- the range we're trying to get to in Q4. So obviously we're working hard to deliver a strong Q4. Specifically on the margin expansion, it is a combination, not any one specific. AI obviously is contributing. We're seeing GitHub and the overall productivity at the engineer and R&D level contribute. We're seeing improvement in terms of our self-service by using AI across the board. We see it in various portions of our G&A business, just to constantly invest to get better in terms of what we're doing and to operate more efficiently. So that's, I'd say, more some of what AI is contributing. We're also building AI into customer use cases in our product, both directly and working with partners, that's actually resonating and helping us win higher sales win rates. And so we like what's going on there. But I would say it's an overall mindset that Hai has been talking about. We go back to Q2 of 2022, we ran slow into a slowing period, and we learned from that. And we said we're never doing that again. And we believe we can, at operating scale with higher gross margins, we can kick out a higher operating adjusted op margin, which is why we raised it to 18% to 20%. We're just taking every dollar and either redirecting it to a higher profitability or redirecting it to a higher yield, whether that's sales and marketing, whether that's R&D, whether that's our G&A spend. And that operating discipline is starting to permeate through all parts of our leadership in our business, and it is here to stay. And we think we can do even more in the quarters and years ahead. But it's a mindset, constant quarter turns of the wrench to just constantly be more efficient and generate a higher yield and better cash flow. And obviously, with the transition to SaaS and higher gross margins, that also should contribute to that as well. It's all of the above.
Hai Tran: Yes. I think the only other thing I'd add specific to the fourth quarter, Thomas is, as I mentioned earlier, right, we have this compounding effect in our payments business because of the acquisition. And our payments business is higher margin. So you're seeing that this year in a way that's driving more operating leverage than you might have -- would have seen last year.
Thomas Shinske: Perfect. Thanks guys. And then just one more, if I may. Congrats on the extension with Comcast. I guess what specific opportunities do you see over the next six years to expand within that relationship?
Brian Shepherd: Yes. I mean what we've seen is -- I mean, first, Comcast, along with Charter and many of our other customers is innovative and industry-leading as it gets. And so one of the mindsets that I think we've really improved on over the last five or six years, which is a co-invention mindset. They do a lot of great innovation, including software development on their side, and they can leverage some of our great technology. So this mindset which says let's put great people in a room and just think about how we can make it better. Obviously, we don't support them on the wireless stage today. A competitor of ours does that. We try to every day show them with our great wins in wireless all around the world that if they ever wanted to consolidate, like they consolidated 11 million subscribers in triple-play billing a few years ago off that same competitor, we think we could bring them value. Will that materialize? Time will tell. But obviously, that's one that we would love to do more business. They're doing a lot in the content and the digital brand space with their Comcast NOW and others. Obviously, we support some of those various use cases, and we'd love to continue to do even more. So I would just say stay tuned. As long as we bring value, we're mission, we're always up and bringing them more reliability and resiliency and just being easier to do business with, typically it works out well. So I'd say stay tuned.
Thomas Shinske: Great. Thank you.
Brian Shepherd: Thanks, Tommy.
Operator: Our next question comes from the line of George Notter with Jefferies. Please go ahead.
George Notter: Hi guys. Thanks very much. I have a question on the CX and payments businesses. I think in the past you guys have talked about them in the context of Rule of 40 businesses. I guess I'm curious if that's still the case. And then also, I saw from the presentation, I think the two businesses in aggregate are, I guess I should be careful here, your non-cable, non-telco business is about 30% of sales. And I think year-to-date is what the presentation references. I assume that's also true for Q3. Any insight there would be great?
Brian Shepherd: Yes. I think on a Q3, you probably see it in the detail, it's 29%. A little bit of timing just -- but we see strong growth across the board. Last quarter, we were 31%. But overall, we're progressing at a really nice rate. And we have high expectations and aspirations. We should be able to continue to expand up towards 35% in 2025 and 2026 as we grow into maybe 12 to 24 months out, just a steady progression like we've done the last five or six years. Specifically on the Rule of 40 and growth, we continue to see extremely strong growth, strong double digit, strong double digit in the CX business. It's data-driven, it's multi-vertical, and we are just ringing the cash register for great brands with this solution. And we're starting to also cross-sell it more into our existing telecom and cable base in addition to these big new verticals. So that one continues to perform well. And yes, is in the double-digit and Rule of 40 category that I could provide more if he wants to. On the payments, what we've talked about on that side is a double-digit business. We saw for a quarter or two that slide back down into high-single digit, but fully expect that. We think that's more timing. As Hai talked about, typically Q2, Q3 a little more seasonality, but we love what we're seeing in the business overall and expect it to be a strong double-digit over the medium to longer term. And I think what we talked about last year for that individual piece, it was just slightly below. It was more in the Rule of 30s range, and that's kind of where that business is operating. Hai, is there anything else you want to add on that?
Hai Tran: No, I think that's right. I think the expectation is that the slowdown on the -- organic slowdown on the payments is temporal in nature. And so as we kind of look to next year, we still expect that business to get back to double-digit organic growth.
George Notter: Got it. And then just as a quick follow-on there. Can you just remind me the M&A contribution in these businesses? I think iCG Pay, and then I think you had another acquisition in the insurance vertical. But can you remind me how much revenue comes from those deals in 2024?
Hai Tran: It's roughly $6 million in the quarter.
George Notter: In '24. Okay. Great.
Brian Shepherd: How much?
Hai Tran: Yes, '24. Yes, it's high-single digits in for the full-year. I'll get you that number, but it's specifically $6 million for the quarter.
George Notter: Q4. Got it. Okay. Got it. And then I think both those deals are around midyear in terms of when you close them. So loosely, we can scale it up for next year another probably $6 million, $8 million, I would imagine, in terms of next year's contribution.
Hai Tran: Yes, you're not that far off.
George Notter: Okay. Super. Thanks guys. Appreciate it.
Hai Tran: Thanks George.
Operator: Our next question comes from the line of Matthew Harrigan with Benchmark.
Matthew Harrigan: Thank you. I guess this is more or less the tertiary piggyback off Shlomo's questions on margins and efficiencies. And I'm sure that you're not going to hire Elon Musk after -- as your efficiencies are, after you guys lays off 80% of the total workforce. But can you give any more specificity on your cost composition in terms of labor and such? And also, it seems like there's such a high level of familiarity between yourselves and Comcast and Charter. I'm sure they understand the economics of your business. And to some extent, those long-term contracts, they are probably somewhat of a gating function on your margin increases given that that's still a heavy chunk of revenues. But is it natural to think that as you hopefully go even beyond 35 and Xponent really continues to grow, you're just going to see a pretty continual reset, upward reset on that margin creep even if it's always gated somewhat by the great relationships you have with Comcast and Charter?
Brian Shepherd: Yes. I think there's a couple. Matt, I hope you're doing well. Thanks for joining. I think there's a couple of different concepts in there. First, when we elevated our range to 18% to 20%, we absolutely expect in 2025 and 2026 and beyond to be in that range. That would be point one. And we love what we're seeing in the business and our ability to deliver against that aspiration. Secondly, it's -- we think that there can be this consistent quarter turns of the wrench to just constantly get better in the -- over a several year period, we would not expect to be hovering at the low end of that range. We would expect to be progressing through that range quite nicely. Obviously, it won't be 100% linear, but 20, 30, 40 basis points improvement is we think can be generated on a fairly consistent basis, even if not a 100% linear from all those factors we've been talking about. And part of the good renewals and the position we're in with our big two or three and some of the other big customers is partly we're reaping the benefit of that from the R&D we invested in 2018, 2019, 2020, early parts of this decade is we've now made those investments. That's bringing them huge value, and it can actually then generate nice profitability for us. And it's a win-win for both of our customers and for us. So we don't see any of our customers necessarily as a drag on our ability to expand operating margin. Just like they do in their business, if you invest well and you innovate well, typically you're rewarded on both top line and bottom line. And that's how we're trying to build our business model with this product-based approach.
Matthew Harrigan: Great. Thanks, Brian.
Brian Shepherd: Thanks, Matt.
Operator: Our next question comes from the line of Nehal Chokshi with Northland Capital Markets. Please go ahead.
Nehal Chokshi: Yes, thank you. Of all the non-Comcast wins signed in the quarter, and then separately year-to-date, can you give a sense as far as what's the annual contract value of these signed? I recognize that a lot of these are to ramp over the future quarters. So just getting a sense of what that annual contract value is and thus why it will drive towards the midpoint of your long-term growth?
Brian Shepherd: Yes, hey, Nehal. I hope you're doing well. We don't provide the ACV. I guess we'll take that under advisement if we decide to disclose that in future quarters. Those wins, to be clear, that we shared on the slides were Q3 year-to-date. They were not just Q3 wins. I think we called out in some of the commentary, the wins that we did have in Q3 specifically. But overall, when we look at the performance on both an annual contract value, ACV, and a total contract value, TCV, standpoint, we track both in our sales methodology. We're performing well this year, and we like where we are in our ability to do it. So I think those are some of the factors, including the renewals, including some of the volume expansions in some of the business areas that we have that are more SaaS in nature that contribute to why as we work through this several quarter kind of just slower growth period, what gives us the confidence to get back to that midpoint 4% or higher organic growth going forward.
Nehal Chokshi: Okay. And then, Hai, you're raising adjusted EBITDA for calendar '24, but not free cash flow. Walk us through why that is?
Hai Tran: A big chunk of that is because as you recall, and then as I mentioned, we've taken some difficult decisions to drive efficiencies. And as a result of those difficult decisions, what you have is you end up with restructuring charges that are cash in nature, right? And that's a headwind to free cash flow. So it's a near-term headwind to free cash flow. Over the long term, it will be a tailwind to free cash flow.
Nehal Chokshi: Got it. Understood. Thank you.
Operator: We'll take our final question from the line of Maggie Nolan with William Blair. Please go ahead.
Maggie Nolan: Thank you. On the increase in margin guidance, none of the levers that you outlined were necessarily incremental to what you've spoken about in the past. So is there any more detail you can share with us on what specifically surprised you to the upside to allow you to increase guidance? And maybe what is the magnitude of each of those levers in the future that would drive you into that 18% to 20% range?
Hai Tran: Yes. I think, Maggie, I think the -- it's not so much what surprised us. I think it's us hedging the timing, right? Like when you take some -- you make some difficult decisions, we need time to really think through the ripple effects of those decisions. And so where there was uncertainty, there was uncertainty around timing and how much of that we'd be able to realize this year. I said as we got through the third quarter, we were able to execute on it faster than we originally thought we might. I think, hence, the benefit we're feeling in year to some of those actions that we're taking, right? And so that's really more context. As we look to next year, right, part of it is kind of that continued discipline. I think there's more opportunities for us to continue to drive efficiencies in the business across all of our businesses, plus mix will come into play quite meaningfully. And then lastly, at some point, when you think about kind of the SG&A piece, there can be some meaningful operating leverage as we continue to grow our higher margin business.
Maggie Nolan: Thank you. And then as you think about further diversifying the revenue base, the other vertical in particular, are customers within that vertical coming to you and asking for vertical specific knowledge or offerings or solutions? And do you have the ability to kind of tailor that as you attempt to continue to scale those end markets?
Brian Shepherd: Yes. No, it's a great question, Maggie. I mean, as we gave some color commentary, the fact that we focus on that post purchase digital customer engagement, you see a lot of similarities across, which is what gives us the credibility and why we are ranked as a leader in multiple quadrants. And so I think that is what's driving a big chunk in the win rate. But then, yes, as we do more in financial services, we do work with three of the largest pharmacy retailers as we do more in insurance and big tech, we are starting to build in more industry vertical-specific domain that is helping us actually scale those verticals out and then look for add-on cross-sell and upsell. And the nice thing about these SaaS solutions is typically, we can get in with a great ROI that rings the cash register for them with a quick payback with anywhere between $0.5 million and $2 million. So it's a relatively cost effective entry point from a price and then we can expand those extremely quickly as we deliver value. And so we're not limited by the fact that we haven't had decades of experience in those verticals, because we do know the targeted value props, but then we're starting to build out those domain expertise as well.
Maggie Nolan: Thank you.
Brian Shepherd: Thanks so much, Maggie.
Operator: And with that, I'll turn the call back over to Brian Shepherd for closing remarks.
Brian Shepherd: Thanks, everyone, for joining. Hopefully, you see why we're excited about what's going on in the business, 11% year-over-year growth in adjusted operating margin, 15% year-over-year growth in EPS, 25% year-over-year growth in free cash flow, and we think we can do better. We're proud of the quarter. We're going to continue to work on delivering greater value and improved results in the quarters and years ahead. Look forward to seeing you and talking to you next quarter.
Operator: That will conclude today's meeting. Thank you all for joining. You may now disconnect.